Operator: Ladies and gentlemen, thank you for standing by. Today's conference call will begin momentarily. Until then, your lines will be placed again on a music hold. Thank you for your patience. You for standing by. My name is Jordan, and I will be your conference operator today. At this time, I would like to welcome everyone to the PulteGroup, Inc. Fourth Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to James Zeumer. Please go ahead.
James Zeumer: Thank you, Jordan, and good morning. I want to welcome everyone to today's call to review PulteGroup's fourth quarter operating and financial results. Joining me on today's call are Ryan Marshall, President and CEO, and James Ossowski, Executive Vice President and CFO, along with David Carrier, Senior VP Finance. In advance of this call, a copy of our Q4 earnings release and this morning's webcast presentation have been posted to our corporate website at pultegroup.com. We will also post an audio replay of this call later today. I would highlight that today's presentation includes forward-looking statements about the company's expected future performance. Actual results could differ materially from those suggested by our comments made today. The most significant risk factors that could affect future results are summarized as part of today's earnings release and within the accompanying presentation. These risk factors and other key information are detailed in our SEC filings, including our annual and quarterly reports. Now let me turn the call over to Ryan Marshall. Ryan?
Ryan Marshall: Thanks, Jim, and good morning. I hope that many of you have had the chance to review our new investor presentation we posted to our website early December. If you have not seen it, I would encourage you to take a few minutes to review the deck, which is available on our website. The document is designed to provide a comprehensive review of the fundamental goals, strategies, and results of our company. The process of creating a completely revamped investor presentation afforded us the opportunity to revisit many of the core tenets against which we have been operating for more than a decade. I have to admit that it was gratifying to see that we have consistently operated in alignment with the strategy established in 2011 and how well they have helped us navigate through the housing cycle. It is also gratifying to see that the underlying operating model has delivered such outstanding results. I would note that investors have recognized and rewarded us for this performance as PulteGroup has ranked number one in total shareholder returns among homebuilders for both the past year and the past decade. This is a sustained record of success for which we are rightfully proud. PulteGroup's 2025 operating and financial results further demonstrate the value of our differentiated operating model and emphasize diversification and balance across markets, buyer groups, and spec versus built-to-order production, as well as a highly disciplined approach to project underwriting and overall capital allocation. In a year that saw buyer demand and overall market dynamics be highly variable, I am pleased to report that our operating model helped us to generate annual revenues, margins, and earnings that rank among the highest in the seventy-five-year history of PulteGroup. Among the 2025 financial results that I would highlight, we closed over 29,500 homes and generated home sale revenues of $16.7 billion. We reported full-year gross and operating margins of 26.3% and 16.9%, respectively, and we generated cash flow from operations of $1.9 billion. I would also note that we ended the year with $2 billion of cash after investing $5.2 billion into the business and returning $1.4 billion to shareholders through share repurchases and dividends. I have talked about this on other calls, but a critical driver to Pulte's results in 2025 and prior years is our highly diversified business platform. With homebuilding operations now established in 47 distinct markets, we benefit from having a strong presence in the Midwest, Northeast, and Florida, where on a relative basis demand in many of these markets has held up better. Relative strength in these areas helped offset pressure coming from the markets where overall home buying demand was softer, such as Texas and in many of our Western markets. Beyond this broad geographic footprint, PulteGroup continues to benefit from having arguably the deepest and most balanced buyer base in the industry. At 38% first-time, 40% move-up, and 22% active adult, our 2025 closings were in line with our long-term targets. More importantly, our 2025 sales demonstrate the powerful impact such buyer diversity can have on our results. In a year in which demand was more challenged among first-time and move-up buyers, full-year sign-ups among active adult buyers increased by 6% over last year and were up 14% in the fourth quarter over the fourth quarter of the prior year. In addition to the obvious benefit to our subsequent closing volumes, our Del Webb communities routinely deliver our highest gross margins. Del Webb has been and will continue to be an important driver of PulteGroup's superior gross margins and, most importantly, high returns. While I think we all view 2025 as more challenging than anticipated, PulteGroup still reported $2.2 billion of net income, the fifth most profitable year in our history, and generated $1.9 billion in cash flow from operations. Consistent with our disciplined capital allocation process, we used our strong 2025 financial results to invest in the future growth of our company, investing $5.2 billion in land acquisition and development. Inclusive of 2025, PulteGroup has invested a total of $24 billion in land acquisition and development over the past five years. We believe our disciplined land investment will enable us to routinely achieve community count growth in the range of 3% to 5% in 2026 and in the years beyond. As part of our keen focus on advancing a homebuilding platform that can consistently deliver strong financial results, as reported in this morning's earnings release, we have made the strategic decision to divest our off-site manufacturing operations. ICG has proven to be a strong operator that can consistently deliver high-quality house shell components that have delivered many benefits to our extending homebuilding platform. But we have determined that our business and, in turn, our shareholders are best served by us focusing on our core homebuilding operations. After the sale, we will be able to benefit from any innovation and off-site manufacturing achieved by the building component suppliers, many of which are making significant investments in technology and innovation. While we focus on our core competencies. Having recorded another year of strong results, PulteGroup enters 2026 in an exceptional financial position with $2 billion of cash and a net debt to capital ratio of negative 3%. We also control a land pipeline of 235,000 lots that will allow us to continue growing community count in 2026. As such, I am optimistic about the year ahead and PulteGroup's ability to capitalize on any opportunities the market may present. Let me turn the call over to Jim Ossowski for a review of our fourth quarter results. Jim?
James Ossowski: Thanks, Ryan. Consistent with Ryan's comments, our fourth quarter performance capped another year of excellent operating and financial results, which I am excited to review. We recorded net new orders in the fourth quarter of 6,428 homes, which is an increase of 4% over Q4 of last year. The increase in net new orders for the quarter reflects a 6% increase in average community count to 1,014 in combination with a 1% decrease in absorption pace to 2.1 homes per month. Reflective of the challenging demand conditions we experienced over the course of 2025, we realized a full-year absorption pace of 2.3 homes per month compared with 2.6 homes per month for all of 2024. For the fourth quarter, our cancellation rate as a percentage of starting backlog was 12% compared with 10% in the prior year. For the fourth quarter, net new orders among first-time and active adult buyers increased 9% and 14%, respectively, over Q4 of last year. Comparatively, net new orders in our move-up business declined by 5% from the prior year fourth quarter. By buyer group, net new orders in Q4 2025 were 39% first-time, 38% move-up, and 23% active adult. This compares with 37% first-time, 42% move-up, and 21% active adult in 2024. As we have discussed on prior calls, new community openings are helping to increase our active adult business as we grow that segment towards our targeted range of 25% of total unit volume. For the fourth quarter, home sale revenues totaled $4.5 billion, which is down 5% from the fourth quarter of last year. Lower home sale revenues for the period reflect a 3% decrease in closings of 7,821 homes, in combination with a 1% decrease in the average sales price of closings to $573,000. By buyer group, closings in the fourth quarter were 37% first-time, 39% move-up, and 24% active adult. In the prior year fourth quarter, our closing mix was 40% first-time, 40% move-up, and 20% active adult. In response to the questions we have received, I would note that our Q4 closings included approximately 100 built-for-rent homes. Given our strategic approach to BFR, it has always been a small part of our operations and accounted for less than 2% of full-year 2025 closings. Our year-end backlog totaled 8,495 homes, with a value of $5.3 billion, and we ended 2025 with 13,705 homes in production, of which 7,216 were speculative. Consistent with our stated strategy, our spec inventory is down 18% from the end of 2024. We have remained disciplined in managing spec starts as we rebalance our product mix and work to increase the percentage of built-to-order homes in our production pipeline. Given the number of homes under construction and their stage of production, we expect to close between 5,700 and 6,100 homes in the first quarter of 2026. We also have provided a guide for full-year 2026 closings in the range of 28,500 to 29,000 homes. Based on pricing in our backlog and the anticipated mix of closings, we expect the average sales price of closings to be in the range of $550,000 to $560,000 for both the first quarter and full year of 2026. As Ryan discussed during his comments, given investments made in prior years and a land pipeline of 235,000 lots under control, we expect our average community count for all four quarters of 2026 to be 3% to 5% higher than the comparable quarter of 2025. For our fourth quarter, we reported a gross margin of 24.7% compared with 27.5% in Q4 of last year. As noted in this morning's press release, our reported fourth quarter gross margin includes $35 million or 80 basis points of land impairment charges. In addition to these charges, Pulte's fourth quarter gross margin was impacted by higher incentives of 9.9% of gross sales price. This compares with 7.2% in Q4 of last year and 8.9% in 2025. Higher incentives for the quarter were primarily the result of our effort to sell finished spec inventory as we closed out 2025. We currently expect to realize gross margins of 24.5% to 25% for both the first quarter and for the full year of 2026, but recognize that the spring selling season will be a key driver of our financial results this year. Embedded within our margin guide is the expectation that our house costs in 2026 will be flat to slightly down relative to 2025. On a year-over-year basis, we expect our lot costs in 2026 to increase by 7% to 8% from 2025. Our reported gross fourth quarter homebuilding SG&A expense of $389 million or 8.7% of home sale revenues includes an insurance benefit of $34 million recorded in the period. Prior homebuilding SG&A expense of $196 million or 4.2% of home sale revenues includes an insurance benefit of $255 million. We remain thoughtful in managing our overheads as we continue to identify opportunities to adjust spending levels while still meeting our high standards for build quality and buyer experience. For full-year 2026, we expect our SG&A expense to be in the range of 9.5% to 9.7% of home sale revenue. Given the typical lower delivery volumes we realize in the first quarter of the year, SG&A expense in Q1 is expected to be approximately 11.5% of home sale revenues. In the fourth quarter, we reported other expenses of $99 million, which includes a charge of $81 million resulting from the expected divestiture of our off-site manufacturing operations. For the fourth quarter, our financial services operations reported pretax income of $35 million, which is down from pretax income of $51 million in the fourth quarter of last year. Financial services pretax income for the period was impacted by a number of factors, including lower ASPs and closing volume in our homebuilding operations and a lower mortgage capture rate. Our mortgage capture rate in the fourth quarter was 84%, compared with 86% last year. PulteGroup's reported pretax income for the fourth quarter was $655 million. In the period, we reported a tax expense of $104 million or an effective tax rate of 23.4%. Our effective tax rate benefited from renewable energy tax credits recorded in Q4. Looking ahead to 2026, we expect our tax rate to be approximately 24.5%. Our expected tax rate does not take into consideration any discrete period-specific tax events that might occur. For the fourth quarter, we reported net income of $502 million or $2.56 per share, which compares with a reported net income of $913 million or $4.43 per share in 2024. For the full year, PulteGroup reported net income of $2.2 billion or $11.12 per share. Our Q4 earnings per share was calculated based on 196 million diluted shares outstanding, which is down 5% from the prior year and reflects the impact of our systematic share repurchase program. In the fourth quarter, PulteGroup repurchased 2.4 million common shares for $300 million. Including our Q4 activity, we repurchased 10.6 million common shares in 2025 for $1.2 billion or an average price of $112.76 per share. We ended the year with $983 million remaining under our existing share repurchase authorization. In the fourth quarter, we invested $1.4 billion in land acquisition and development, which was evenly split between the two activities. For the full year, we invested a total of $5.2 billion in land acquisition and development, of which 52% went for the development of existing land assets. Inclusive of our Q4 investments, we ended the year with 235,000 lots under control. This is comparable with the fourth quarter of last year but down on a sequential basis by 5,000 lots from Q3 as we continue to carefully review each land deal and make tactical decisions to exit select transactions. It is fair to say that the slower housing environment is beginning to have an impact on the land dynamics of markets around the country. Depending on the market, the seller, and the underlying land asset, we are finding opportunities to renegotiate deals to adjust the timing, the price, or sometimes both. Our land teams have and continue to do an excellent job of reviewing every transaction to ensure deals still meet our risk-adjusted return hurdles given current prices and basis. Our local teams are also looking for opportunities to upgrade positions should land deals that were previously under contract come back to the market. As I mentioned earlier, we generated $1.9 billion of cash flow from operations in 2025, as we managed our housing starts, controlled land spend, and closed incremental homes in the fourth quarter. We will maintain the same disciplined approach in 2026 as we align investments in the business with buyer activity. Given current market dynamics and our expected 3% to 5% growth in community count, we are projecting land acquisition and development spend of $5.4 billion in 2026. Assuming this level of land spend and the expectation that house inventory will increase commensurate with an increased level of built-to-order home sales, we would expect 2026 cash flow generation to be approximately $1 billion. And finally, we ended the year with exceptional financial strength and flexibility as we had $2 billion of cash and a debt to capital ratio of 11.2%. Adjusting for the cash balance, our net debt to capital ratio at quarter-end was negative 3%. Now let me turn the call back to Ryan for some final comments.
Ryan Marshall: Thanks, Jim. Appreciating the more challenging market conditions, I still look back on 2025 and say it was a good year. As you heard repeatedly, demand was highly variable as consumers responded initially to movements in interest rates and later to a slowing economy, which pressured jobs and, as important, consumer confidence. All that being said, monthly absorption rates followed a typical seasonal pattern for the year and through the fourth quarter. The first few weeks of January have also demonstrated the expected seasonal increase in demand as we move from December into the start of the new year. It is too early to glean much in terms of the strength of the entire spring selling season other than to say we remain optimistic. As was the case through much of the year, in the fourth quarter we continued to realize stronger homebuyer demand in key markets in the Northeast and many parts of the Midwest and the Southeast. Fourth quarter demand is seasonally slower, but on a relative basis, we saw positive homebuyer activity in markets that included Boston, the Northern Virginia DC area, as well as Chicago, Indianapolis, and Louisville, and then extending down into The Carolinas. Once again, I have to recognize the success of our Florida operations, which generated a year-over-year increase in fourth quarter sign-ups of 13%. Beyond the strength of our land positions and our overall homebuilding operations throughout the Florida markets, data suggests that new and existing home inventories are generally stable to improving modestly. Obviously, a strengthening housing market in the state of Florida would be a huge boost to the industry. We closed out the year with our Texas and West markets continuing to experience sluggish demand trends, although we may be seeing some signs of bottoming in Dallas and San Antonio. At this time, I would tell you that improvements in the pace of sales are likely the result of pricing actions as we work hard to find a clearing price and turn assets. This is particularly true with regard to finished spec inventory that we needed to clear. Looking ahead to 2026, the industry enters a new year with improved affordability as mortgage rates are almost a full percentage point lower than a year ago, and whether through price reductions or incentives, new home prices have reset lower while consumers benefited from another year of income growth as wages increased by upwards of 4%. A more financially capable consumer in combination with an improving affordability picture puts the industry in a much better position heading into the 2026 spring selling season. Given these dynamics, I think consumer confidence will be a critical component to determining just how strong buyer demand will be in the months to come. Before opening the call to questions, I want to recognize and celebrate the entire Pulte team. Beyond the outstanding financial results, you continue to set the industry standard for build quality and customer satisfaction in 2025. You have been relentless in your efforts, and I am so proud of all that you have accomplished in these areas. Now let me turn the call over to James Zeumer.
James Zeumer: Great. Thanks, Ryan. Now we are prepared to open the call for questions. So we can get to as many questions as possible during the remaining time of this call, we ask that you limit yourself to one question and one follow-up. Jordan, if you would, we are prepared to take questions and answers now.
Operator: Your first question comes from the line of John Lovallo from UBS. Your line is live.
John Lovallo: Thanks, guys. I appreciate you taking my questions. And Ryan, I share your optimism heading into the year versus heading into the beginning of last year. I think the setup is a lot better. But, you know, maybe starting with just SG&A, you guys did a really good job of managing that in the quarter despite home sales being down about 5% year over year. Can you just help us with some of the levers that you may have pulled? And what else can be done on the SG&A front?
Ryan Marshall: Yeah. You know, John, we did not make a ton of changes. I think we have always prided ourselves on being balanced and consistent. We put a lot of incremental investment into our people. We are five years in a row now recognized as a top 100 best company to work for. We make incremental investments in quality and customer experience. So aside from that, we have really just tried to run kind of a balanced, thoughtful business, not be wasteful. But make sure that we are, you know, invested in the right places. You know, we have made some targeted reductions in force in a handful of markets. We did that in the November time frame of last year. Pretty small numbers overall. But it was focused in some of the markets that you might expect that were a little slower. Texas and some of the Western markets. Beyond that, John, I would not tell you that there is anything that I would call out as extraordinary.
John Lovallo: Okay. That is helpful. And then I wanted to touch on ICG. I mean, you know, we have been pretty big proponents of off-site construction and the benefits there. I can understand not wanting to vertically integrate it, but I guess the question is, you know, what is your view overall on just technology infusion into homebuilding, you know, as a longer-term solution to the, you know, the chronic undersupply?
Ryan Marshall: Yeah, John. I think that is the spot that I would highlight is we are huge proponents of the innovation capability and the ability to incorporate it into the homebuilding machine. And we have learned a lot over the last six years and gotten a ton of benefits in kind of what the overall housing operation has derived from the innovation that has happened there. We have just come to the conclusion that we think we are better off focusing on the core competency of buying land, entitling, developing, building homes. And including ICG, and whoever the eventual owner of that will be combined with many of the other national off-site manufacturers, they are making a truckload of investment in innovation, and we think we will be able to continue to benefit from those innovations. That innovation spending into the homebuilding operation without necessarily being a direct owner of it.
John Lovallo: Yep. Makes sense. Thank you, guys.
Operator: Your next question comes from the line of Michael Rehaut from JPMorgan Chase. Your line is live.
Michael Rehaut: Hi. Thanks for taking my questions. Good morning, everybody. First question, I would love to maybe dive in a little bit to the full-year gross margin outlook that you laid out on the call and appreciate that. Given that it is maybe a step more in the direction of guidance than some of your peers are willing to do. I wanted to understand the assumptions, particularly as you anticipate your first-quarter gross margin, it seems like being sustained throughout the year. And what that means in terms of the progression of the year because you think land costs maybe continue to go up throughout the year as it is kind of a long-term trend? So I was just wondering the components of that as you think sequentially throughout the year, how are you thinking about promotions if promotions or incentives stabilize? They obviously rose throughout 2025. You know, labor materials, and if there is any positive impact from the divestiture of ICG.
Ryan Marshall: Yeah. Hey, Mike. It is Ryan. Appreciate the question. And we take kind of the process of giving guidance very seriously. As I am sure you can appreciate. We go through, and we try to evaluate every element of the, you know, the P&L that contributes to the margin guide. Our expectations are to really see ASP flat through the year. We have kind of given a guide that is the same for Q1 and the full year. We do expect our house costs to go down slightly. The sticks and bricks, Jim talked about that in his prepared remarks. We are anticipating land costs to increase in the range of 7% to 8%. And we would expect to see the discounts remain elevated. We would hope and we would be optimistic that we can pull back just a tad on those discounts, but you know, broadly, we think they are going to remain elevated. So you know, we have strived to keep our margins best in class. We will endeavor to do that in 2026 as well. And as you know, ultimately, we are focused on driving the best return on investment, and we manage kind of pace and price toward an outcome that gives us the optimal return for the shareholder. And look, we think it is worth it. And it was the reason in my opening comments I said, you know, that strategy and the way we operate has generated the highest TSR not only for the last year but also the last decade. So you know, I would say those are the big components of how we think about margin.
Michael Rehaut: No. That is great. Thank you for that. And I guess, secondly, you mentioned in your prepared remarks, Ryan, around maybe some of the inventory trends that you are seeing starting perhaps stabilize in Florida. We have seen some of that as well in certain of our statistics. I was wondering if you could kind of go through your major markets if possible and, you know, particularly from a supply from an inventory perspective, as you look at, you know, your major markets, how the trends have been over the last, you know, three to six months? And if you would describe that stabilization as kind of broad throughout your footprint or if there are some areas that are still, you know, rising perhaps or even some that are starting to come in a little bit?
Ryan Marshall: Sure. Florida is an important market for us, Mike, and we have talked we tried because it is such an important market to us and we think all of housing, really, we tried to talk about it every quarter. It is up 14% over last year, so we had good sales in the quarter. I would start there. Generally, I would tell you every market is positive, but there are some outperformers. The outperformers, Fort Myers, Naples, the East Coast of Florida, so Palm Beach, Vero Beach, kind of Fort Lauderdale. Orlando continues to be exceptional. You know, Tampa has been stable, but, you know, not as good as the others. And I put Jacksonville in that same category.
Michael Rehaut: Okay. When you talk about that, you are referring to the order trends, not the inventory, just clarifying.
Ryan Marshall: Correct. I am speaking to order trends. That is exactly right, Mike.
Michael Rehaut: Thank you.
Operator: Your next question comes from the line of Sam Reid from Wells Fargo. Your line is live.
Sam Reid: Thanks so much, guys. Wanted to unpack the step-up in incentive loads from the third to fourth quarter. I believe they were up about 100 bps sequentially based on the prepared remarks. It sounds like a lot of that was geared towards clearing spec inventory. So we would just love to hear the levers that you have pulled to clear the spec inventory. Maybe delineate between price reductions versus buy down. And then talk a little bit about incentive load into the first quarter and what is embedded in that guide.
James Ossowski: Thanks for the question, Sam. Yeah. The increase in the fourth quarter really was, you know, the incentives to move some of the speculative inventory. We closed a couple of extra 100 units, you know, at the over the high end of our guide. And so we got a little bit more aggressive in some places. So that is really where it is coming from. You know, financing incentives for the quarter were flat. It was really just had to get a little bit lean in a little bit more in some places, and so that is what we did in the fourth quarter.
Ryan Marshall: Sam, you had a question on Q1 that I did not hear. What was your Q1 question?
Sam Reid: Just on the incentive load into the first quarter. Talking through the guide path there, Q4 to Q1.
Ryan Marshall: Yeah. I point you back to the answer that I gave to Mike. We do not specifically guide to incentive loads. Other than we have given you a margin guide for the quarter. And I made the comment that our expectation is incentives will remain elevated.
Sam Reid: All helpful. And then moving to stick and brick. So, obviously, hearing that stick and brick is going to be lower in 2026, any categories I am thinking of material categories where you are getting price concessions. We would just love to hear the wins that you might be achieving here to get the lower stick and brick. And then perhaps also talk through the labor component and just what you are seeing on the labor side. Thanks.
James Ossowski: Sure. So, you know, for your benefit in the fourth quarter, our sticks and bricks were $78 a square foot, so slightly less than what they have been for the past year. And as we said in our prepared remarks, they will be down flat to down slightly next year. You know, some of the things we have seen, a little bit of help on the lumber side, a little bit of help on the labor side. Materials are kind of ups and downs. You know, the one thing I would say is included in that, you know, the impact of tariffs is in that guide of slightly down next year. So again, I think our procurement teams are doing a great job. The labor is available in the market, and so we see that as a good opportunity for next year.
Sam Reid: Always appreciate the color, guys. Thanks so much.
Ryan Marshall: Thanks, Sam.
Operator: Your next question comes from the line of Stephen Kim from Evercore ISI. Your line is live.
Stephen Kim: Yeah. Thanks a lot, guys. Appreciate all the color so far. Your spec levels look like they were pretty well contained by the time you got to the end of the fourth quarter. I am curious if you think that there is additional reduction there. I think I have you at a set level basically, it is seven specs per community. Wondering, could you give us some sense or, you know, where you would like to see that as you head into 2026. And assuming that your specs will be less of a headwind, I am curious why you are not assuming that you might see any reduction in your incentives. If I heard you correctly, Ryan, what I am getting from your guidance is that your guidance does not assume any reduction in incentives, and that it feels a little conservative to me, so I just curious. Am I reading that right, or is there something maybe that I am missing? Maybe the spec level you think, you know, may actually rise next year for some reason. So just a little color there combining those.
Ryan Marshall: Sure, Steven. So let me start with the specs. We are comfortable with where we are at right now. But we have worked very hard through the last three to four months to make sure that our start rate matches our sales rate and that we were not adding to the specs that we have. Ideally, what we are really endeavoring to do is to move back more into a built-to-order builder where 60 plus percent of our sales are built-to-order, 40% are spec. The last couple of years, we have kind of been inverted. We have been 60% spec, 40% dirt. And, you know, it will not happen overnight, but we are moving the company slowly back in the direction of more build-to-order. We think that is better for the way that we have our capital allocated to homebuilding business. Our margins are higher on built-to-order, so we are kind of threading that needle. Our financial services team has done a wonderful job helping to put some forward commitments in the market that actually can be used on built-to-order homes. So we are finding a way to kind of get the best of both worlds and making sure that we are tackling the affordability challenge while still moving into or closer into a built-to-order model that we want to be. So we go into the spring selling season, Steven, our goal is going to be to sell dirt in a higher percentage than spec while still having some spec available, especially in the entry-level price points. As it relates to the incentives, the spring selling season, I think, is ultimately going to kind of dictate what we are able to do with incentives. We would certainly be optimistic and hopeful that we pull those down from where we are at. You know, we have given the full-year guide that incorporates assumptions that we have made around the incentives plus the increase in lot cost, which is not insignificant at 7% to 8%. A little bit of a, you know, a tailwind or a help from lower house costs. So you know, we think the range is at where we sit and kind of early or late January, early February. I think it is a pretty good range. But, you know, we are optimistic that, you know, maybe there is more.
Stephen Kim: Yeah. Appreciate that. So if I can just put a little color around what you said, if you were to return back to sort of a DTO mix, I look and see that, you know, pre-pandemic, you all were running kind of, like, three to four specs per community, which is, you know, pretty significantly lower than where you are now. So if I am reading what you are saying right, it sounds like there is going to be this transition that is taking place. As that transition does take place, your turnover rate I would think, would go down. Your backlog turnover rate would go down because you would not be carrying as many specs and be doing more build-to-order. Your closings guide that you have given would if I have your backlog turnover ratio going down, in order for you to hit your closings guide, it would assume that your order pace is going to be up year over year close to double digits. And so I just wanted to make sure that I am doing the math properly here and then I have not missed something.
Ryan Marshall: Yes, Steven. Not having the luxury of seeing your model, I probably would not want to comment on your math. You know, we would certainly be happy to follow up with you on that. I would say, you know, we have got pretty complicated models on our side as well, and you know, we have gone through and made, you know, assumptions on what our new communities are, what absorptions are, what our sales rate is going to be, and what our monthly start rate is going to be. And it really comes down to kind of that start rate. We do have the benefit of cycle times being back to pre-COVID level cycle times at around one hundred days. So you know, again, we need spring selling season to continue to cooperate with us and be strong. As long as that happens, we have got the production capability to put the starts in the ground that will allow us to deliver the closing guide that we have given.
Stephen Kim: Okay. Great. Thanks, guys.
Operator: Next question comes from the line of Alan Ratner from Zelman and Associates. Your line is live.
Alan Ratner: Hey, guys. Good morning. Thanks for all the details so far. You know, Ryan, you brought up an interesting point that I was hoping to touch on, you know, in terms of the forward commitments on build-to-order. You know, I think a lot of builders have kind of talked about the fact that that is really difficult to do from a financial perspective just because you are paying for a longer lock period. So I would love to hear a little bit more about those programs that you are offering right now in BTO, what kind of rates you are offering the consumer? And I guess just extending that to the margin profile of BTO versus spec right now, if you could talk a little bit about what that differential looks like. Thank you.
Ryan Marshall: Yeah, Alan, what was the last part of that question? I missed it.
Alan Ratner: Just the margin differential between DTO and spec. Right now?
Ryan Marshall: Oh, sure. Yeah. Yeah. Yeah. So, Alan, in terms of kind of the forward commitments, it is really driven by the faster cycle times. So you know, we are overall, for the entire enterprise, we are at a hundred days on single-family. We have got some multifamily in there that takes a little longer. But on single-family, we are a hundred days, and we have some markets that are down into the seventies. So that is the predominant driver. And then, you know, the rates that we can offer on those longer-term rate locks, they are not quite as competitive or as low as what you might see on a spec offer. They are pretty good. You know, they might be within 50 basis points of what we would offer on a spec. So it depends on the community. But you know, roughly, we are, you know, we are somewhere in the low fives, low to mid-fives. So today, you know, roughly a 100 basis points below what you could get kind of in the open market. And then in terms of kind of margin differential, between spec and built-to-order, depends. But, you know, suffice it to say, and I think we have been fairly, you know, consistent with this. We have hundreds of basis points higher gross margins when it is built-to-order. And that is simply kind of derived from the fact that when the customer comes in, and they are able to pick out everything they want, that really works well within our strategic pricing model. That allows them to pick their floor plan, their options, their lot premium, and, you know, we have often, I do not think we quoted it this quarter, but what we can talk about is the dollars that we make off of lot premiums and options are real. And those margins are great. So outperformance is the customer picks what they want. You know, that is the biggest kind of contributor to the margin outperformance.
Alan Ratner: Great. I appreciate that detail. And then second question on price point trends. I know you gave the data for, I think, sign-ups and closings. Sounded like active adult was up solidly year over year, but I guess just more qualitatively, if you could talk about the demand trends and kind of the pricing trends you are seeing at each of your price points and any notable shifts we have seen over the last, you know, call it, couple of months alongside all the policy noise and interest rates hopping around. Any color you can give would be great. Thank you.
Ryan Marshall: Yeah. Alan, in terms of price, the biggest change in price came in the first-time segment. So last year, the average price in the first-time was $467,000. That is down to $438,000. So we are down about 6% in price on first-time, which is where, you know, the majority of the affordability pinch is really being felt. So I think we have leaned in. We have really worked to try and address affordability. Move-up in active adult pricing has really been kind of flat. So, hopefully, that kind of helps give you a little color on what you are after.
Alan Ratner: A lot.
Operator: Your next question comes from the line of Anthony Pettinari from Citigroup. Your line is live.
Anthony Pettinari: Good morning. I was wondering if you could talk a little bit more about the 80 bps of impairments in the quarter and maybe the drivers there. And I think some other builders have reported maybe elevated walk-away costs for their lot options. Are you seeing that? Or just any kind of color you can give us moving into the spring?
James Ossowski: Yeah. Thanks for the question, Anthony. So, you know, Ryan touched on it a little bit earlier in some of our prepared remarks. You know, we leaned in a little bit heavier on some incentives where we had a little bit more speculative inventory out there in the market. And so, you know, the thousand communities that we operate in, we had eight of them that, you know, we took a land impairment charge on, which is really just a matter we had to get a little bit more aggressive on pricing. And so, you know, we moved through the inventory. Resulted in a charge. And so as you said, that is what we quoted in here. The other thing that I would tell you is, and it was in our prepared remarks, we have been more disciplined as we have been looking at it. You know, in the quarter, we, you know, we put another 18,000 lots under contract, but we also walked from about a thousand. So we are always prioritizing our land book. And so within that, there was about $22 million of land charges, which is included in our other expense categories for, we classified in the fourth quarter.
Anthony Pettinari: Okay. That is very helpful. And then just switching gears, with regards to affordability, do you see the administration's, you know, restrictions on institutional ownership of single-family homes? Do you see that as being impactful in any of the major markets where you are operating? And then just more broadly, are there policies, I mean, a lot has obviously been floated, but are there policies that you think would, you know, could help stimulate housing demand and kind of a sustainable way?
Ryan Marshall: So I will take the build-to-rent question first. Jim shared the numbers for us and for both the full year and the quarter, and they are really immaterial. We had 100 build-to-rent closings in the quarter. So pretty insignificant. Going back to the very beginning of when we even entered into the build-for-rent space, we strategically limited the percentage of volume that we were willing to put toward that. We just, you know, we felt that we wanted to dip our toe in the water, but we did not want to be overexposed. And, you know, I think hindsight being 2020, that was a great decision. In terms of kind of markets where it could be impactful, significant, I just really do not see it being a big deal kind of anywhere. I know that there is the perception that it is moving prices and taking supply out of the market. You know? So I guess time will tell. We are certainly, you know, going to adhere to the executive order and some of the things that are being talked about. And, you know, if those are the rules of the road, we are going to play by them, and it will not really have an impact on our business. And then Anthony, I am sorry. What was the other part of your question?
Anthony Pettinari: Yeah. Yeah. I am just wondering if there were policies that you think could, you know, help with affordability or home construction and help with housing activity that would be, you know, sustainable and positive from your perspective?
Ryan Marshall: Yeah. You know, it is, we have had conversations with the administration, and the administration has been very active in leaning in and trying to address housing affordability. There is a lot being talked about. As I know you can appreciate, it is hard. Because housing remains very, very local. And so, you know, I think the entire industry, us included, are going to continue to work with, you know, the administration to try and create more supply, which ultimately will impact affordability. The American dream is and homeownership is at the core of the American dream. And we want to make sure that we are doing everything that we can to keep that healthy, and I think, you know, the administration as well.
Anthony Pettinari: Okay. That is very helpful. I will turn it over.
Operator: Your next question comes from the line of Matthew Bouley from Barclays. Your line is live.
Matthew Bouley: Hi. Good morning, everyone. Thanks for taking the questions. Wanted to ask another one on the build-to-rent side. I think Ryan, you just alluded to that. I think I heard you say you were, I guess, if I paraphrase, glad you did not lean as much into it as you could have. But I think the way that executive order was written the other day suggested, you know, purpose-built, build-for-rent would still be potentially okay, if that does all go through. So I am curious if there is actually an opportunity to do more build-for-rent, or is that given what you just said, the business is still too either cyclical or rate-sensitive, what have you, that you know, it is ultimately not where you want to be focusing your investment. Thank you.
Ryan Marshall: Yeah. I would tell you, you know, maybe taking the last piece, Matt, it is just probably not where you are going to see us lean in no matter what the executive order says. I just think there are better places for our capital that will drive better returns for our shareholders. You know, we will see ultimately kind of what the rules end up being when the executive order is kind of fully clarified, what purpose-built means, you know, does that mean the entire community is built for rent? Does that mean it never goes on the MLS? Some, I think, open questions, but no matter how those get resolved, I just do not see it being a huge part of our business.
Matthew Bouley: Got it. Okay. Perfect. Thanks for clarifying that. And then secondly, on the incentive front, you guys in the past have commented on your mix of, I guess, call it financing incentives versus other incentives, whether, you know, upgrades and options and so forth. Just curious if you can kind of comment on the trends in both of those and maybe how quickly can the different types of incentives sort of respond to this move lower in interest rates that we have had.
James Ossowski: Thank you. Yeah. I would tell you the financing incentives have stayed very consistent for the past three, four quarters. Really, we have seen it more on the other incentives, so primarily discounting on some of the speculative homes we had. So as Ryan touched on, you know, as we get to the spring selling season and we have gotten our spec levels down, you know, there is hope that there are opportunities that maybe you could pull back on that other lever. But otherwise, financing incentives have stayed flat for us. I would not expect it.
Matthew Bouley: Okay. Thanks, Jim. Thanks, Ryan. Good luck, guys.
Operator: Your next question comes from the line of Trevor Allinson from Wolfe Research. Your line is live.
Trevor Allinson: Hi. Good morning. Thank you for taking my questions. A question on your volume performance in the quarter. From an orders perspective, you outperformed historical seasonal trends for the second straight quarter. That in mind, should we think of the roughly 2.3 absorption rate that you did in 2025 as representing a floor for you guys here? And even if we do not get better demand conditions in '26, would you expect to work to drive absorptions at a 2.3 level or higher moving forward?
Ryan Marshall: Trevor, I think, you know, we would certainly endeavor to do more. We would always like to sell more. You know, in terms of saying, are we at a floor? That is, you know, that is hard to tell. The market will ultimately kind of dictate that. We have been pretty clear, though, in saying, kind of the way we run our business, we need a minimum amount of volume that has got to go through every store. We tend to target that around two. So you know, we are above that. You know, we did not endeavor to do more. You know, in such a way that we can deliver the guide that we have given for the full year. So, hopefully, that helps.
Trevor Allinson: Yeah. That is helpful. I think what I was trying to get at was kind of the minimum volume level that you guys would target. That two number is very helpful. Then second, just follow-up question on specs. I think last quarter, you had mentioned your finished spec. Community were about twice your target level. It sounds like you guys made some real effort to move some products in 4Q. So I may have missed it earlier, but where does your do you finish spec for community fit today? And with that in mind, what is your expectation for starts moving forward relative to sales? Thanks.
Ryan Marshall: Yeah. Trevor, so as I mentioned, for the last four or five months, we have been matching our starts to our sales. So, you know, we have not really added to kind of the specs in any kind of way. Our total specs are down versus prior year by about 1,500, so we have made a pretty significant dent in it. Spec finals sit at 2,000. You know, that is the number that is probably a little higher than what I would ideally like it to be. Just because you have got a lot of capital tied up in those homes. So the number in and of itself is not anything that we are overly freaked out about other than to say, I we can do better. And we would like to have less finished homes, you know, sitting out there. I go back to, you know, the very first question that I addressed. Ideally, we would like to see kind of our business revert over time back to, you know, predominantly built-to-order model, we think it is, you know, it is a major contributor of our kind of return outperformance and, you know, it is hard to do. It is hard to run a build-to-order business, but we think we know how to do it. We have got a good model that we will, you know, we will endeavor to put back in place.
Trevor Allinson: Thank you for all the color, and good luck moving forward.
Operator: Next question comes from the line of Kenneth Zener from Seaport Research. Your line is live.
Kenneth Zener: Good morning, everybody. Hey, Ken. Good morning, Ken. Ryan, team, I wonder, you know, if we find about your business, which you report consolidated, and we look at it, if you could give us some comments by your regional disclosure, I am just using like third quarter as kind of the trend line for you to comment on. Florida looks like it is basing. Texas is obviously, like, still facing headwinds. The Midwest, North, doing excellent. But can you talk about the West? It is a broad area for you. But the gross margins which, you know, would have been higher to compensate for, you know, lower asset turns, it is lower. Is it what is happening in the West? Is it where affordability is most pronounced? So are incentives greater in the West than your other regions? Is it what we have seen last, you know, x call it, quarters? Is there immigration issues or headwinds that are just distinct in the West versus, you know, Florida or Texas? Can you just talk about why that region has appears to have a structurally greater challenge on the gross margin side. Thank you.
Ryan Marshall: Yeah. Sure, Ken. You know, we, I think we, along with the entire industry, have been pretty clear for over a year and a half that the West has been a more challenged environment, predominantly driven by affordability. It does have, especially the coastal markets, some of the highest home prices in the country, and as interest rates have gone up, it certainly made that challenging. There is also, you know, a lot of tech employment on the West Coast, and the tech sector, I think, has gone through some challenges. That have contributed to the employees in the tech sector being a little more hesitant in moving forward with buying these expensive homes. You know, we are seeing it in the West. We have had very good success in Las Vegas. We have had some, you know, pretty decent success in Arizona. The Colorado market has been, you know, more challenged. It is, you know, expensive, and it saw a lot of the same post-COVID population surge, pricing surge. That Texas saw. So I think it is going through some of the similar things Texas. So that is how I would characterize the West. An important part of our business. But, you know, as we have highlighted, the fact that we have such a diversified geographic platform even with some of the challenges in the West, we have been able to perform incredibly well because of what our Florida, Southeast, Midwest, and Northeast businesses have done. So, you know, another advertorial kind of pitch for why the diversity in geography is so important to kind of who we are.
Kenneth Zener: Thank you very much. Thanks, Ed.
Operator: Your next question comes from the line of Mike Dahl from RBC Capital Markets. Your line is live.
Mike Dahl: Morning. Thanks for squeezing me in. Just a couple of follow-ups. Wanted to go back on the incentives. I am sorry to harp on this, but if incentives were kind of up under dips and the quarter, can you just comment on if your 9.9% for the quarter, does that imply the exit rate was in the low double-digit range? And when you talk about remaining elevated, are you talking remaining elevated to that exit rate, which likely would have been kind of the highest level that you saw through the quarter and year, or should we be thinking more in line with kind of the average levels that you have seen?
Ryan Marshall: Yeah, Mike. We are probably not going to slice the baloney quite that thin. So, you know, we were nine nine in the quarter. We were nine the prior quarter. So, you know, the exit rate probably was a little higher than nine nine as we move through some of the spec inventory that Jim talked about, which primarily was in the form of just outright price discounts. Financing, as Jim mentioned, was flat. It has been flat for the last three quarters. We move into the, you know, the current year, you know, I would not again, I would not slice the baloney quite so thin on exit rate versus quarter rate. Just look. Our expectation is that we are going to continue to lean into the forward commitment. It is a real important part of addressing affordability. We are going to make sure that we are priced right in a competitive way, both against resale and other new home competitors. And then all that said rolls up into the margin guide that we have given them 24 and a half to 25, which, you know, kind of no matter the housing cycle and particularly in this environment, I think is now outstanding margin absolute margin performance. So I guess I would leave it there.
Mike Dahl: Okay. Understood, Ryan. And then second one, just back on ICG, I guess previous experience in, you know, your company and its predecessors had owning some of these assets. Exited. Then when you bought ICG, it was, you know, supposed to be kind of, like, the next evolution and something that would be different. And I guess I am just wondering, you know, what ultimately catalyzed your decision here that it just for whatever reason, you know, this you reached the decision that this does not make sense. And can we think of this as I do not nothing is ever final, but this is basically now your philosophical view going forward that you do not need to have own assets like this in a vertically integrated way.
Ryan Marshall: Yeah. I think it is a couple of things. Number one, we bought it right as COVID was starting. So I think the supply chain challenges and some of the things that happen kind of in a post-COVID environment certainly slowed us down in kind of our ability to get some of the gains out of it that we wanted. We have also seen a lot of the other suppliers, off-site manufacturers, make tremendous investments into this space. And they have got way more scale than what we have. And so when we think about what is the best kind of allocation of our capital, not only for the current operation but also to grow, we just think that we are better, you know, we are and our shareholders are better by putting capital to grow in other places. So as much as anything, it is really about kind of a capital allocation question. We really believe in the innovation that we got out of ICG. We believe we will continue to benefit from that innovation, but it comes down to what is the best allocation of our resources. Both time, money, and focus is probably the short answer. So with that, I think we probably have time for maybe one more question, operator.
Operator: Your next question comes from the line of Jay McCanless from Citizens. Your line is live.
Jay McCanless: Hey, good morning. Thanks for taking my questions. The first one just wanted to square up the commentary that Jim Ossowski made about being able to maybe reprice some land deals and relating that to the land inflation you talked about 7% to 8% for this year, is there any chance you all could work that number down as you rework some of these land deals?
James Ossowski: Great question, Jay. I would tell you, you know, the land that we are, you know, under contract or we are seeking to buy right now, the one that we are renegotiating, those are 2027-2028 closings. So, you know, really, the increase that is in our guide this coming year is land we bought a couple of years ago. So really do not see the opportunity in the short term, but as we look to the long term, that is certainly our goal to see if we can get some price out of it.
Jay McCanless: Okay. Great. And then my second question, you guys, the last couple of quarters, have talked about Del Webb communities more than coming online. Just wanted to get an update on that and see if that is still going to be the case in '26.
Ryan Marshall: Yeah, Jay. It is. You see it in the sign-up trends in the quarter and even in the full year. You know, we are up to in the most recent quarter, 24% of our closings were from Del Webb. 23% of the sign-ups in the quarter were Del Webb. So those new communities have opened in the last kind of one to two quarters. We have got some more that are coming next quarter. Which is, you know, what we always said. That, you know, in 2026, you would see us get back up to that kind of targeted mix of 25%.
James Zeumer: With that, we are going to wrap up this morning's call. We will certainly be available over the course of the day for any follow-up questions. We thank everybody for your time this morning, and we will look forward to speaking with you on our next earnings call.